Operator: Good afternoon, and welcome to the Anglogold Ashanti thirdquarter earnings results. (Operator Instructions) Please note that thisconference is being recorded. I would now like to turn the conference over to CharlesCarter. Please go ahead, sir.
Charles Carter: Thank you, Dylan. And welcome to this presentation by theAnglogold Ashanti executive team of our results for the third quarter ended 30September 2007. The format of the presentation will be as follows. MarkCutifani, our Chief Executive Officer will review the company's financial andoperating results for the quarter and provide his first impressions followinghis first full month in the role. Venkat, our Financial Director will discuss the financialresults in more detail, and the presentation will conclude with NevilleNicolau, our COO who will cover our operational performance. We will then havediscussion. Before we begin, it is necessary for me to read adeclaration regarding forward-looking statements that may be made during thispresentation. Certain statements made during this presentation, including andwithout limitation, those concerning the economic outlook for the gold miningindustry, expectations regarding gold prices, production, cash costs and otheroperating results, growth prospects and the outlook of Anglogold Ashanti'soperations, including the completion or commencement of commercial operationsof certain of our exploration and production projects, the company's liquidity,capital resources and expenditure contain certain forward-looking statementsregarding Anglogold Ashanti's operations, economic performance, and financialcondition. Although, the company believes that the expectationsreflected in such forward looking statements are reasonable. No assurance canbe given that such expectations will prove to have been correct. Accordingly,results could differ materially from those set out in the forward-lookingstatement as a result of, among other factors, changes in economic and marketconditions, the success of business and operating initiatives, changes in theregulatory environment and other government actions, fluctuations in goldprices and exchange rates, and business and operational risk management. For a discussion of such factors, refer to AnglogoldAshanti's annual report for the year ended 31 December 2006, which wasdistributed to shareholders on 29 March 2007 and filed with the SEC. AnglogoldAshanti undertakes no obligation to update publicly or release any revisions tothese forward looking statements to reflects or circumstances after today'sdate, or to reflect the occurrence of unanticipated events. With that, let me hand over to Mark Cutifani.
Mark Cutifani: Thanks very much, Charles. I am very pleased to be here witheveryone today. I must say from the outset, that if I sound a little stressed,it's because I'm sitting with ten South Africans who are all wearing greenrugby jerseys reflecting South Africa's recent win in the World Cup, and for anAussie, that's a traumatic and difficult experience to go through, so if you'llbear with me. Ladies and gentlemen, it's been about 45 days since I'vejoined Anglogold Ashanti. I was in my third week on the job when we executedthe Anglo-American placement, so from the outset, I'd like to express myappreciation to existing shareholders who stepped up to make this placement asuccess. And I'd like to welcome new shareholders who came into thestock through the book deal. We are delighted with the spread and the qualityof this expanded investor base. In our future conversations, I will and we willfocus on our undertakings to both our loyal holders and our new owners. This is a significant milestone for both Anglo-American, whohave now achieved their goal of accounting for Anglogold Ashanti as aninvestment and for us at Anglogold Ashanti. It is a major step towardsindependence and full strategic flexibility. Following the successful placement of shares, the directorsrepresenting Anglo-American on our board have resigned, and I would like tothank them for their contribution and support over the years, as well asthrough the placement process. Today is a new day. We will start that new day talking aboutthe commitment to creating value for shareholders and all of our businesspartners. To deliver value to our shareholders, we have recognized the natureof gold and its unique place in an investor's portfolio. At the same time, weunderstand the need to create and deliver sustainable value from our assets. We must deliver cash and cash flow; we must deliver growth,meaning more cash flow, based on generating competitive returns. We mustdeliver on our commitments so that investors can rely on the value that we arepromising, and more importantly, the delivery of these promises in the future. To deliver a sustainable future, we also need to deliver thevalue to our business partners. We must ensure that our employees be safe inour keep. Our communities will be safeguarded in their environment and we willadd value in that context in the communities in which we operate by creatingemployment, new opportunities for business associates, and a better future fortheir children. And most importantly to our employees, we acknowledge peopleare the business; our business is people. And starting with our people first, Iwill start with our most important issue, the pursuit of the safe operationsfor all of our employees. During the third quarter, we lost seven colleagues to mineaccidents. And on behalf of the Anglogold Ashanti team, we offer our deepestcondolences to their families and friends. We assure you that as a company, weregard safety as the most important value to our success. As CEO, I take full responsibility for safety management,and together, with every employee of the company, we will strengthen ourpartnerships in creating a new standard upon which we will manage together andfor each other. As people may be aware, I have had responsibility for manyoperations across five continents. I have had direct operating responsibilityin some of the deepest mines in the world, in particular, base metals andcoalmines. So if you'll allow me one of my first observations, there isno one that knows deep underground mining better in South Africa than the SouthAfricans. I've been impressed with the progress on technical developments andimprovements on safety. Every manager I've met in our operations is striving toachieve a safer working environment. Today, we are still losing our colleaguesand this has to change. My job is to work with the team, to support the team,to lead the team towards finding that next step to improvement within ourbusiness. I have no doubt we will find it, and we will be successful together. We also had to build on the work we are doing with ourpartners in the union movement and in government, so that collectively, we willfind solutions to improve safety that counts. The dialogue should not be aboutblame. But rather that we rather take the industry forward together. The industry has made progress, together; to be successfulin the future, we have to go forward together. On that note, let me say thatwe've already introduced a number of internally led interventions within SouthAfrican operations and we have supplemented this work with some external eyesto help us look and see all possibilities. And as a final comment to those that are concerned that wemay impact our long-term viability, let me make one point perfectly clear, no onecan deliver sustainable productivity improvements without delivering safety. Wewill deliver both. On a more positive note, this quarter saw our lost timeinjury rating improve 13% to 7.9 per million hours worked. Twelve of our 20operations have shown improvements against the previous quarter, and anadditional 2 operations have had only one injury, while Iduapriem remainedinjury-free for the second consecutive quarter. In South Africa, we have seen a 7-day improvement, quarteron quarter, in lost time injuries. As mentioned in the previous quarter,Johannes Viljoen, who has running Mponeng mine so successfully, is heading oursafety initiative for our underground operations. We believe that any paradigm shift required in our safetyperformance can only be achieved through leadership and an integrative approachthat focuses on changes with practices, and that change starts with us asleaders. In turning to production, we are introducing a new term in ourbusiness Safe Operations. Consistent with that term, we reported 1.43 million ouncesfor the third quarter, 6% higher than that of the previous quarter. Total cashcosts, however, have increased 7% to $357 an ounce, due to annual wageincreases, winter power tariffs, high consumable costs, and higher royaltypayments. Venkat will elaborate on these cost increases in more detaila little later. Our adjusted headline earnings of $81 million was compared tothe previous quarter despite the impact of the higher cash costs and once-offcompensation costs. Our third quarter price reserves of $621 an ounce was 9%below spot, but within market guidance, and 3% higher than the previousquarter, as the gold price continues to rally. Over the period, the hedge bookdelta has increased by 1.83 million ounces due to a $96/oz higher price,bringing the total hedge book delta to 10.58 million ounces. It remains our intention to continue to actively manage ourhedge book in a value accretive manner, while seeking to reduce our overallhedge position. In that context I should make the observation that I'm not agreat fan of hedging, and we will be considering ways to effectively improveour position in ways that are sensitive to the value for our shareholders. The South African operations, with the exception of GreatNoligwa reported strong production increases against the previous quarter,while Great Noligwa was affected by lower recovered grades due to the miningmix. There were significant production improvements at several ofour African operations, with Morila up 49%, Geita 33%, and Iduapriem 21% Obuasiwas 9% lower, due to a planned shutdown, while seasonal rain affected Siguiriand Yatela, which were 5% and 9% lower, respectively. Our international assets continue to perform solidly, withSunrise Dam and Anglogold Ashanti Brazil posting stronger production results,while CC&V in the U.S. was 13% lower, due to a delayed prime action fromleach pen-stacking levels. Neville will take you through the operationperformance in more detail. During October, Anglogold Ashanti acquired the minorityshareholding of Iduapriem from the International Refining Corporation, at 10%and the Government of Ghana's 5% shareholding, for a total purchaseconsideration of $25 million with effect from the first of September 2007. This positive step indicates our ability to capitalize onopportunities within our current business, adding an additional 390,000 ouncesto reserves, and some 620,000 ounces to our resources based on the 2006 reservestatement. And we will provide further upside when completing the issuedreserves and resources analysis. I will now hand over to Venkat to provide a brief financialoverview for the quarter. Thanks, Venkat.
Venkat Venkatakrishnan: Thank you, Mark. I would like to now cover in some detailour adjusted headline earnings, hedging, total cash costs, and fourth quarteroutlook. As Mark has mentioned, our adjusted headline earnings forthe third quarter were broadly similar to the prior quarter at about $81million. The benefits from our 6% higher gold production and a 3% improvementin the lead price were eroded by higher total cash costs, increaseddepreciation and amortization charges, and once off compensation andimprovement expenditure, all of which were line with our most recent guidance. In respect of the hedge book, our lead price of $621 anounce was 9% lower than the average spot price for the quarter, and within ourprevious guidance. The hedge delta increased by 1.18 million ounces to 10.58million ounces, primarily due to a significant price increase of $96 per ouncebetween two-quarter ends, one of the highest we have seen. Our net hedging commitments, as of the quarter end, stood at11.7 million ounces, equivalent to around two years' worth of production.Looking ahead to the fourth quarter, we estimate that the deficit between thelead price and the spot price is likely to be between 10% to 12%, for spot goldprices in the range of $700 to $760 an ounce. In the backdrop of rising operating costs, we are looking atways to create greater leverage to a rising gold price going forward. In thissense, you heard today our new CEO's position on hedging. Turning to our total unit cash costs, these increased by $24an ounce, or 7%, to $357 an ounce in the third quarter. This increase can beprimarily attributed to South African and Ghanaian wage settlements amountingto $7 an ounce; higher power costs amounting to $8 an ounce, this includes thehigher winter tariff in South Africa, at a cost of $5 an ounce; higher fuel,consumable, and maintenance costs at an additional $6 an ounce, royalties onthe back of higher stock prices of about $2 an ounce, and the impact ofstronger local currencies around $2 an ounce. In this month, i.e. the month of October, we utilized theopportunity of the recent dip in uranium prices to purchase 300,000 pounds ofuranium at a cost of $75 a pound to meet contractual commitments maturing in2008. Given the impact of this uranium purchase, which would addapproximately $15 an ounce in the fourth quarter, rising fuel prices, inflationand stronger operating currencies, we are guiding our total cash costs for thefourth quarter at around $364 an ounce, and production for the fourth quarteris estimated at around 1.5 million ounces. These are based on average exchange rates of R$6.90 to $1,Aussi $ exchange rate of R$0.87, the real at R$1.90, and the peso at R$3.15. Itis, however, worth noting, that we have seen a lot of volatility recently onboth exchange rates and fuel prices, which could impact this guidance. As mentioned earlier, you would have noticed that ourdepreciation and amortization charge is higher quarter-on-quarter. However, forthe simply reflective of the quarterly profile of our annual charge, we havestill estimated that around $600 million, in accordance with our previousmarket guidance for 2007. Accordingly, the residual charge for the fourthquarter is estimated to be around $172 million. Earnings for the fourth quarter, are expected to besignificantly distorted by, amongst other things, due to annual accountingadjustments following our business planning process, such as rehabilitation,investing, current and deferred tax provisions. I will now hand you over to Neville, to take you through theperformance of our operations in more detail.
Neville Nicolau: Thank you, Venkat. The South African operations had a solidperformance, with only Great Noligwa mine not improving on their previousperformance. Overall, the South African assets boosted a 6% improvement,despite losing 11 shifts due to safety stoppages. Total cash costs increased 8% to R77,247 per kilogram, dueto the annual wage increases, higher winter tariffs, and higher by-productlosses, which were partially offset by improved production. Despite the higher cash costs, the adjusted gross profit forthe south African region increased by 8% to R$802 million from R$741 million inthe previous quarter. Looking in more detail at these operation, Mponeng reportedanother strong performance, with production marginally higher than the previousquarter, but total cash costs rose by 3% on the back of annual wage and winterpower tariffs. The adjusted gross profit contribution for the quarter was 10%higher, at R$323 million or $46 million. Kopanang posted a 15% increase in production, as highergrade material was totaled in the previous quarter was accessed, and had atotal cash cost rise of 4% due to annual wage increases, winter power tariffs,and higher timber costs due to an improved flow of ground management system.The adjusted gross profit rose 25% to R$201 million or $28 million. At TauTona, improved facelinks and face-advance resulted ina 15% improvement in crude mining volume, and combined with a 6% higher yield,resulted in gold production being 19% higher. As you will recall, TauTonamining plan was adjusted after seismicity stopped mining in several high-gradepanels in the last quarter of 2006. And it is encouraging to note that TauTonahas beaten its restated plan for the quarter. Total cash costs increased 3% to R$72,802 per kilogram,while adjusted gross profits rose 38% to R$145 million or $21 million. AtTauLekoa, further mining and increased ramping resulted in gold productionimproving 10%, and total cash costs increased 3%. Moab Khutsong continued tobuild up, with volume treated and value of the mine increasing, and goldproduction was 33% higher, while total cash costs were marginally lower. Savuka had a good quarter, with gold production 12% higher,due to improved mining volume due to higher face link availability, despiteyield being lower. Despite the inflationary pressures, total cash costs were 6%lower for the quarter, and the adjusted gross profit increased significantly toR$15 million or $2 million. As you will recall, both Savuka and TauLekoa faced shortoperating lives not so long ago, and it is extremely positive to note that theyhave become steady contributors and provide further potential in exceeding thelife through reserve growth, which will be disclosed soon with our reserve andresource statement. Great Noligwa, had a difficult quarter. Despite improvedface advance and face link availability, production was adversely affected bymining mix, as increased mining took place in the lower grade SV3 section ofthe mine, and gold production reduced 5%. Consequently, total cash costs rose24% due to annual wage increases, winter power tariffs, and higher by-productlosses. At Obuasi, our other African underground mine production was9% lower at 84,000 ounces, due to an 11 day plant shutdown for both maintenanceand the testing and development of processes to reduce environmental impact ofore treatment which was completed in line with the directive of the GhanaianEnvironmental Protection Agency. As a result of the lower production, total cashcosts increased 13% to $513 per ounce. At our other Ghanaian operation, Iduapriem, despite highrainfall, production rose 21% to 52,000 ounces, with tonnage throughputincreasing 14% and yield was 4% higher, as mining continues from the high-gradeBlock 8 pit. The total cash costs increased 23% to $359 per ounce, due to thenon-occurrence of the once-off credits received in the previous quarter. In Namibia, Navachab mine reported a 5% increase inproduction on the back of recovered grade, but due to the higher winter powertariffs and the plant mill realigning maintenance, total cash costs increased23% to $431 per ounce. Production at Siguiri in Guinea was adversely affected byseasonal rain, with the grade being affected by 8%. And as a result, productionwas 5% lower; consequently, total cash costs rose 4% to $518 per ounce. The Malian sites had a mixed quarter. Production at Morilawas 49% higher due to improved grade and total cash costs decreased by 26% to$305 per ounce. Sadiola was also 3% higher on the back of higher recoveredgrade, which was partially offset by the lower throughput that was affected bythe higher percentage of sulfide ores treated and the total cash costs were 1%lower. Yatela, in anticipation of the rainy season was planned downduring the quarter to proceed with the pushback and as a result production was9% lower and consequently, total cash costs were 65% higher at $383 per ounce. Turning to East Africa, after the slope failure in theNyanganga pit, we significantly reduced the production outlook for the yearguided (ph). Production for the third quarter was 33% higher at 109,000 ounces,due to a 16% increase in tonnage and a 15% higher recovered grade. In Australia, our Sunrise Dam reported yet another yet againstrong results for the quarter with mining continuing in the high grade areasas planned and yielding a 3% increase in production to 153,000 ounces. Totalcash costs were 7% lower at A$329, due primarily to higher production. Also in Australia, as our Boddington project, where we havea third shareholding, it is expected to come online late 2008, early 2009 andis currently in the development phase. We are in the process of completing adefinitive estimate to update our capital cost and schedule. This will include determining the adverse impact of thestrong Australian dollar and the definitive estimate is expected to becompleted by the beginning of 2008. At our North American operations, CC&V in Colorado, goldproduction was 13% lower at 60,000 ounces and consequently total cash costswere 24% higher at $308 per ounce, due to delayed production of the leach padstacking levels and high fuel costs. Looking across to South America, our volume in Argentina sawproduction remain steady at 50,000 ounces due to a higher feed grade,offsetting lower tonnages treated. Total cash costs deteriorated by 14% to $291per ounce, mainly as a result of high inflation on materials and contractorcosts, partially offset by a higher silver by-product credit. Finally, in Brazil, Anglogold Ashanti, Brazil Mineraçãoincreased production by 19% to 87,000 ounces, with higher volumes and valuesmined. On the back of the higher production, total cash costs reduced 12% to$220 per ounce. Production at Serra Grande was 4% lower quarter-on-quarterat 23,000 ounces, due to a lower feed grade. And combined with local currencyappreciation, total cash costs rose 2% to $268 per ounce. Looking ahead to the next quarter, production is expected tobe similar to Q3 levels for the South African operations. At our Ghanaianoperations, Obuasi is expected to be higher following an 11-day plant shutdown,which has now been resolved. Production at Morila is expected to increase again, ashigher-grade material is accessed, which has been confirmed from gate-controlleddrilling tests. Siguiri is expected to improve in the fourth quarter with therainy season behind us and as access is made to mine higher-grade material fromKantina and Simpukka [ph] pits. Production at Yatela, on the other hand, is expected todecline, as current pit pushbacks is mined out to the pit bottom and the nextand final pushback continues. But Geita and Iduapriem are expected to maintaintheir production levels. CC&V is expected to return back to normal output levelsand the balance of the international assets are expected to maintain theirsolid performance. I will now hand back to Charles.
Charles Carter: Thank you, Neville. And with that, we'd be delighted to takeyour questions.
Operator: (Operator Instructions) Our first question comes from VictorFlores of the HSBC. Please go ahead, sir.
Victor Flores - HSBC: Yeah, thank you, good morning. I have a few questions. Firstof all, going back to the safety issue, which has, I guess, been in the news abit not only with Anglogold, but with the platinum mines and with the othergold producers It seems that the DME has taken a slightly harder line withthe mining industry, and is now asking for mines to be shut down, when thereare fatalities. Can you give us a sense, as to what you think the DME's changeof position represents and how you're doing to deal with it?
Mark Cutifani: Victor, it's Mark Cutifani. Let me just pick that up andthen I'll ask Neville or Rob if they want to say anything. Just first question,what impact it's had for us, around 20,000 ounces in the quarter, as aconsequence of stopping operations where we've had fatal incidents? It's acomplex discussion in South Africa, the one thing I'd say and the one thingthat I'd pointed out to people this morning. The industry has come a long way in 10 years. And I think,the first thing we need to do is make sure that we all reflect on the positivesthat have been achieved and make sure we understand the learning’s and that'sthe government, the unions, and the companies. So that was the first point wemade. The second point is that the skills and expertise here inSouth Africa are quite unique and in my view better than anyone in the world interms of understanding the issues and understanding where to take the business.At the same time, the government, the unions have constituencies that they needto manage and so we understand their concerns and the positions they're taking. But at the same time, we've actually stopped operations anddone remedial works and reviews of our operations, and so quite frankly, I'dsay three-quarters of the time or the output that we've lost has been aconsequence of the actions that we've taken to stop the operations to do checksand reviews and peer reviews. We've brought people from other operations to look at anyissues we've had to get different sets of eyes in there to make sure that we'renot missing anything or to bring forward ideas in terms of how to take thepositions forward. So I think, firstly, it's been a little overstated, the DMEactions, because I would say at least 70% to 75% of that is been a consequenceof the steps that we would normally take to address the issues. Having saidthat, what we're doing is we're engaging in a very constructive conversation, avery mature conversation with the Department, the unions, in terms of how wetake this forward together. And so for us it's very important; we've got to do itcollaboratively. We've had a good response from both the unions, in fact, we'vebeen with the unions this morning and had a very constructive conversation andwe're looking at how we're doing to do this together and we're also reunitingconstructive conversations with the Department as well. So I think, we're looking for the right things to do andwe're going to this together. And certainly, from an individual point of view,my personal perspective, it's important that I provide 1) leadership and 2)support to the people who know how to take this forward. And certainly, I've been very encouraged by what I've seenin the one-on-one conversations, we've had over the last three or four days inrelation to the safety issue. And I've seen this in other jurisdictions, inother places obviously, it's a bigger issue for us in terms of the statistics,But certainly, I'd say the opportunity is there and the will to take thisforward together. Neville or Robbie, do you want to add to that?
Robbie Lazare: There isn't much to add, we have a common objective in thisthing, and it is an issue, which we need to sort out together. I think there isa great deal of cooperation, and I don't think that there's any problem interms of the relationships between the union, the state or the management ofthe mines.
Victor Flores - HSBC: Great. Thank you. Now if I could just turn to another subject, Mark, you werejust quoted as saying, “I'm not a great fan of hedging”, which is fine. How doyou weigh the decision of spending a dollar buying a portion of a hedge bookback versus spending a dollar building new mines, which is what the business isabout, and which actually gives you more reserves and production to dilute theimpact of the hedging that exists now?
Mark Cutifani: I might have put a little bit of context in my statementabout hedging there, Victor. One, in a rising gold price, I'm not a great fanof hedging. It has is place, and from our point of view, we've probably gotmore than we'd like. And so I would like to see us with less hedging. So thatwas the context of the statement. In terms of thinking about what we do with the hedge bookgoing forward, the conversation that we are in as an executive leadership groupis about capital deployment and the effectiveness of that capital deployment.And I see the hedge book as part of that conversation. And in many ways, if theprice stays the same, you're deploying a dollar to make a dollar. And so, a lot of conversation about where we think the goldprice is going. We're positive on the gold price, but at the same time,recognizing what whatever you do with the hedge book, you're taking a position. What we're doing is looking at the whole portfolio, we'relooking at how to better deploy our capital within the portfolio, and I havetalked about the possibility of maybe asset sales because of the 21 operations,10 countries, four continents. I don't think all of the operations are adding or are goingto add material value to the portfolio; therefore we should look at releasingthat capital and deploying it in a better place. But quite frankly, it's a badreturn, and if we see a better opportunity in putting it into an asset, that iswhere the capital will go. We assess the issue with putting money into the hedge bookalong with the other capital deployment options we have, and the comment I'dmake is that we will probably look at deploying our capital in a range ofareas, and the hedge book will be as part of that conversation. But we wouldlike a little more exposure to a rising gold price, and that's how we factorthat issue into the conversation. The other thing, when we talk about the hedge book, is we'revery focused on creating reserves. And again, when we look at the hedge book,if it's more effective to deploy money in brownfields exploration or capitaldevelopments that actually provides us with increases in reserves, that's alsoconsistent with the hedge book discussion in terms of diluting the hedge bookagainst a bigger reserve base. In fact, we were quite successful last year, we created 4million new ounces even after taking into account production, and we'll getthat again this year. And so I think they're the types of things to consider,and that's the type of discussion that we're in at the moment when we talkabout the hedge book. I hope that answers the question.
Victor Flores - HSBC: It does. Thank you. In fact, you've sort of opened the doorfor my last question. Which is, you mentioned asset sales, I was going to askyou what the position is on the various joint ventures the Group has? Areyou've just bought out the minorities in Iduapriem, what are you thinking aboutthe rest of the joint venture portfolio?
Mark Cutifani: It will be opportunistic. Obviously, the Iduapriem purchasewas a no-brainer from our perspective, and so we're very happy with that. Inlooking at the other joint ventures, we'll look at the assets, we'll look atwhat the value we see in being able to contribute to the business goingforward, and we'll look at taking up a position or selling a position. And at the moment, we've got Richard Duffy leading a fullportfolio review over the next two months, and that's the question I'm askinghim: show me the money, show me the value, show us the value. And we'll make adecision about how we manage the portfolio. The one thing I would say is that we're going to be moreaggressive about the way we manage the portfolio, and we're going to be moreaggressive about the way we deploy our capital and try to make our capital workharder and more effectively for our shareholders.
Victor Flores - HSBC: Thanks a lot. Thank you very much.
Operator: Thank you sir. Our next question comes from Oscar Cabrera ofGoldman Sachs. Please go ahead.
Oscar Cabrera - Goldman Sachs: Good morning, everybody. Mark, welcome. To steer you in adifferent context here, just following up with the line of questioning in termsof your reserves, can you give us an update of your exploration and what you'reseeing specifically in the DRC and Australia? And then I'll follow up withanother one.
Mark Cutifani: Hell, Oscar, how are you? It's good to hear your voice.
Oscar Cabrera - Goldman Sachs: Great, thanks, Mark.
Mark Cutifani: Oscar, I might just make two comments, and then I will handacross to Richard Duffy, because he's the minister in charge of excitement.Firstly, the one thing that has impressed me is the portfolio of explorationactivities Tropicana in Australia, the Colombian position we have, I think isexceptional. Obviously, DRC, and questions on DRC are always about riskand return and I'm sure that Richard will have some good thoughts on that, butI'll hand that across to Richard. But certainly from my point of view, I'm veryexcited in terms of the exploration portfolio we have. Richard?
Richard Duffy: Oscar, on picking up on what Mark said, and trying to giveyou a sense on what we hope to deliver in terms of nuances from greenfieldsexploration this year in the areas Mark mentioned, Tropicana is obviously ourmost advanced project. We're in pre-feasibility, we're acceleratingfeasibility, and we hope to conclude the pre-feasibility stage by the middle ofnext year. In terms of ounces for this year, we're targeting a minimumof 2 million ounces from drilling at Tropicana; we're hoping to get more thanthat in the rest of the pre-feasibility, but for this year the target is 2million ounces. In Colombia, we are also targeting a similar resource figureof 2 million ounces. We are currently doing extensive drilling on two projects.One is at Gramalote, and that is a joint venture that we have the rights to ownup to 75% in that particular project. The other is La Colosa, which is 100% Anglogold Ashanti. Weare unlikely to drill any resources out of La Colosa simply because of thestage of the project. It is a very exciting project, and we hope to tell youmore about that, possibly at our next quarterly discussion. But from Colombiawe’re targeting 2 million ounces. And then in Congo, at Adidi-Kanga, which is where we've beendrilling out our resource, we also expect around 2 million ounces fromAdidi-Kanga. But our focus on our concession footing in the Congo has shifted,particularly to looking at regional potential. We're flown airborne physics,we've got a number of interesting targets, and there's no doubt that the Congois elephant country. We have to pick up the return risk debate, as Mark hasreferred to. So, on the Greenfields front, 6 million ounces of inferredresource by the end of this year as part of our resource statement is thetarget. Perhaps, just to give you a sense of spend in terms of output for theyear, we have increased our spend and our outlook for total exploration spendin 2007 is $122 million. And that is $97 million on Greenfields and $25 millionon brownfields. I hope that answers your question, Oscar.
Oscar Cabrera - Goldman Sachs: Thanks, Richard. I was looking forward to seeing that newtitle on the business cards. In following up with the thought up core assets, in andtaking into consideration that you guys are going through the process here,what regions of the world granted, that there are some parts of the world thathave the resources and then you have to be there, but what regions of the worldare more attractive at the moment for you? Would that be, also taking intoconsideration, as you look at your portfolio of assets.
Mark Cutifani: Oscar, if I could pick up the key points there, yourbackyard looks attractive to us. Colombia, South America, I think the positionwe have in Brazil with Minas Gerais, and in Argentina we've got a very goodasset and I think a very good reputation. So I think in South America, I think it's a great place tobe, and the position we have in Brazil with Minas Gerais, and in Argentinawe've got a very good asset and I think a very good reputation. So I think inSouth America, I think it's a great place to be, and the positions that we haveare very exciting. In Australia, it's a rather interesting one in Australia,we've got a couple of the guys finding the work there pretty heavy duty and arestruggling a little bit. We're very pleased with our Boddington position that we'rebuilding, we're building a mine in support with our partners, Newmont, we'revery happy with that position. Obviously, Tropicana in the new range, and theguys have done a great job in picking that up and doing the work they've had. And I think there may be more opportunities in Australia, assome people look at revising their portfolios. In Africa, we've got some very goodpositions; unfortunately we've not utilized those well, I think Geita andObuasi, for us, have been a little problematic for us in contributing to someof our hedging. I think part of the reason we've missed some of our goals,so I think we have got some hard work to do in getting those operations rightand fixing, have Robbie focused on those two projects, and I think a couple ofother positions in Africa are exciting. But at the same time there are a couple of positions therethat I don't think have got the potential to add longer-term value in ourcontext. But we're looking hard at those assets as we speak, and that will bepart of Richard's review. But in South Africa, we've got around about a 2.5 millionounce production base, we know how to do business in Africa. We know how toimprove our business in Africa. So when you look at the portfolio, I think we've got goodpositions right across the Board, and Richard's got us looking in a few placesin Asia, so we're heading up north from Australia and in China, veryinteresting places. And in the context of the DRC, one thing we're saying toRichard is I'm not interested in an IRR discussion, I'm interested in quickcash turns, and I want to see cash in and cash out pretty quickly. And then I get interested, and so, that's the nature of theconversation in terms of what we're looking at across the globe.
Oscar Cabrera - Goldman Sachs: Okay. Great, Mark. Thanks very much.
Operator: Our next question comes from Amanda Lagrange (ph) of Nomura.Please go ahead.
Amanda Lagrange - Nomura: Hello gentlemen. I'd just like to ask a short questionregarding uranium. Could you please confirm the volume of uranium that you havehedged at the roughly $20 to $25 per pound level in 2008 and 2009? And then secondly, I heard mentioned that once thosecontracts are rolled off, about in 2010, that you expect a $20 per ounceuranium by-products credit to your gold costs. Is that your total cash costs,or is that $20 per ounce credit to the actual mines that are producing theuranium?
Venkat Venkatakrishnan: If I can pick up on the contracts that's vacant here, ourcommitments are actually disclosed, to be precise, on page 262 of our annualreport. Committed production for 2008 is just under ₤1.9 million, and we areintending to meet that as I said, by buying uranium, which we have done to thetune of ₤300,000, and we are also in the process of renegotiating somecontracts. But then, the committed production reduces dramatically, for2009, it's only ₤919,000, and from 2010 to 2013, that's the four years, intotal, we only have ₤2 million committed. That averages to about ₤500,000 ayear. And hence, a large chunk of our production post-2008 could be sold attoday's prices. Mark?
Mark Cutifani: Just to go to the second part of your question. I know wherethat number came from and I'll take 30 seconds to explain it. I was asked thequestion how quickly our contracts roll off, and I'll talk broadly to whatVenkat was saying. I do make the point that if you do look at uranium in ourportfolio, it is somewhat of a hedge against energy prices, and I said that ifyou took today's prevailing spot price, and took the difference against ourcurrent contract prices, took those volumes in 2010, the value back to us as anet by-product credit was around $20 an ounce on gold. So that's where that number came from in the context of thatconversation. And that's at our current volumes, which is at about ₤1.3 milliona year. I hope that answers the question.
Amanda Lagrange - Nomura: Yes, that's good. Thanks very much, gentlemen.
Operator: Our next question comes from Victoria Roberts from PlatMetal (ph). Please go ahead.
Victoria Roberts - Plat Metal: Hello?
Mark Cutifani: Yes?
Victoria Roberts - Plat Metal: I'm not certain that you can hear me. My question on thecash costs has been covered. I've been having a few technical issues oncanceling questions, so my apologies for the interruption.
Mark Cutifani: No problem. Thank you.
Operator: (Operator Instructions) Our next question comes from BarryCooper of CIBC World Markets. Please go ahead.
Barry Cooper - CIBC World Markets: Yes, good day, everyone. Just a bit of a follow-up on theuranium question there. What was the reason for your shortfall for the uraniumproduction?
Venkat Venkatakrishnan: If I can pick it up, I think it was purely the maturityprofile of the contract and at that point, the production profile showed, itwas going to be, you couldn't actually generate using stock on hand, about ₤1.9million. They are currently producing ₤1.4 million to ₤1.5 million. So this was a legacy shortfall position. When theopportunity opened up, we decided to buy because the price was good, and alsowe had some tax advantages in making the purchase now.
Barry Cooper - CIBC World Markets: So it had nothing to do with the similar situation thatUranium One has vis-à-vis having access to assets or anything like that.
Venkat Venkatakrishnan: There was an element of it, but the reason for the purchasewas not driven by that.
Barry Cooper - CIBC World Markets: Okay. Good enough. Venkat, I was just wondering if you couldmaybe want to give us a broad general guidance on the variability that you'retalking about for Q4 for a number of parameters there, I guess from the words. I don't even know if it's going to be positive or negative,but could you just kind of give us some sort of a broad-brush guidance ofwhat's going to be different in Q4, with all of these what you typically callunusual or irregular events?
Venkat Venkatakrishnan: No, actually, Barry, I think it's a function of the businessplanning process. Because as part of the business plan, we review life of mine,mine life extensions, that has an impact on what your rehabilitation provisionis going to be, the impact of what you're going to do with existing stockpilesand inventory, and it also puts the tax rate changes, for example, in SouthAfrica, how quickly you come out of the South African tax tunnel and so on. The answer is I cannot provide you with an indication atthis stage, simply because we haven't completed our planning process. Thattakes probably another month, month and a half to complete. Then we have got todo the number crunching. In terms of whether it's positive or negative. I can't giveyou an indication as to what the impact will be. But historically, it has beennegative. But having said that, we will complete the exercise, and we'll putthat out as part of our Q4 announcement. But at this stage, unfortunately, wecan't provide any more details.
Barry Cooper - CIBC World Markets: Okay, fair enough. We'll flounder about ourselves there,then a final question for Neville on Moab. I was just wondering, are you seeinganything, now that you've got a couple of years of development build, orproduction build, under your belt that suggests that these assets are not goingto live up to your initial expectations? Particularly on the costs front, because that, although theproduction's been building, the costs really haven't changed a heck of a lotsince first starting up there.
Neville Nicolau: Barry, I think the costs at the moment are a sign that thereis a very low level of production. Moab is in a very steep build-up phase overthe next 18 months. The development results ahead of what we are stating at themoment have started to show very, very encouraging signs of very good grade. And all of that will contribute towards the cost level. Wewill be in a better position at the end of the year to give proper long-termguidance to Moab, taking into account all of our current knowledge. It'sdifficult to say what the expectation of Moab was at the conception of theproject. But where we are in terms of business plan at the moment,our current expectation of the project is very, very close to the business planthat we have been working on over the last couple of years.
Barry Cooper - CIBC World Markets: Okay, thanks a lot. That's all the questions I had.
Operator: (Operator Instructions) Our next question comes from JustinBrown of Business Report. Please go ahead.
Justin Brown - Business Report: Question on, two questions please. Just regarding thepotential for asset sales. I was just wondering what would be the priority interms of the use of the money that comes out of any potential asset sales. And then also, I just wanted to find out, the five to sixmines that could face sale that aren't providing returns that Anglogold Ashantiis looking to achieve any chance of those being named?
Mark Cutifani: If I can gather your second question first, the answer isno. However, let me say that, my comment is that there are at least 5 or 6mines that are not contributing in a material way there are some that I thinkhave the potential to contribute and we have to get on our backs and reallywork hard to get them delivering. That's the first point I'd make. There are some that will be, because of size or jointventure relationship or material impact on the business, things that we have tothink of in a different context. And that's what Richard's been handed in termsof the portfolio to go and work through. He's just starting that process and will come back withrecommendations in February. In terms of priorities, I think I've probablydealt with that a little bit earlier. The issue will be where do we best deployour capital And obviously our hedge book will be in the mix in terms of thatconversation. But I'm not going to preempt that discussion either untilRichard comes back with the recommendations. The asset review does include ourdeveloping projects and our exploration prospects. So, it's right across theboard, and that will be done where we best deploy our capital. So what I'm saying is that there will be a shift in capitaldeployment, and that shift will be focused on creating long-term value forshareholders.
Justin Brown - Business Report: So could it be a matter of selling assets to reduce thehedge book? Is it that simple?
Mark Cutifani: It could potentially be as I said, if we decide to sellassets and there's some gold that goes with it I think it's always prudent tomaybe lighten up the hedge book as a consequence, but I don't want to be lockedinto that, because we've got some great prospects as well. And so looking atcapital deployment, I think it's an important part of the process we'll begoing through.
Justin Brown - Business Report: And the small, if I can layoff let me please ask one morequestion? Just would you prioritize the sale of the mine that has the biggestamount of hedge positions in place?
Mark Cutifani: No, we look at the hedge book as one book across the entireportfolio we manages it as an entire portfolio.
Justin Brown - Business Report: Okay. Thank you very much.
Operator: Ladies and gentlemen, we have no further questions. Wouldyou like to make some closing comments?
Charles Carter: Thank you, Dylan. We would just like to thank to ourparticipants for joining us on the call.
Mark Cutifani: Thank you everyone.
Operator: On behalf of Anglogold Ashanti, that concludes thisafternoon's conference. Thank you for joining us. You may now disconnect yourlines.